Olivier Lechien: Welcome everyone to the IBA Full Year 2022 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. I would now like to turn the conference over to Olivier Legrain, CEO of IBA.
Olivier Legrain: Good afternoon, everybody. Thank you for joining us on our full year result call. I’m Legrain and with me today is our CFO, Soumya. Before we start, I'd like to draw your attention to the company disclaimer on forward-looking statements. And first of all, I'd like to start today by thanking the entire IBA team for their continued hard work. Over the course of this year, I am pleased to see that all that hard work is paying off. With a very strong year with growth across our business unit and record order intake and backlog. As always, I will give an overview of our business and our progress over the course of 2022. Soumya will summarize our financial statements. And then, after I discuss the outlook, and we will be very happy to take any questions. Now let's take a look at some of our key highlights for 2022. Here is a snapshot of the key 2022 financial highlights. As announced this morning, a few point to pick out that here. Group revenue of EUR361.3 million, up 15% from 2021. Group EBIT of EUR11.1 million and a net profit of EUR6.1 million. All-time record annual Equipment order intake of EUR456 million and Dosimetry order intake of EUR67 million. All-time record overall Equipment and Service backlog of EUR1.4 billion, including Equipment backlog of EUR713 million and Service backlog of EUR669 million. Finally, our balance sheet continues to be extremely strong with EUR158 million gross and EUR117 million net cash at the end of the year, providing us with significant stability and flexibility for the future period. This slide will be familiar and cover the key objectives per business unit, which includes growing market share, developing technologies for the future and delivering our backlog. Over the year, we have continued to deliver against these objectives. So Dosimetry order intake is up to EUR67 (ph) million and has been boosted by the acquisition of Candidus and Modus. Within proton therapy, we have seen 17 new proton therapy rooms sold in 2022. Yes, ladies and gentlemen, 17 compared to nine last year. Every -- elsewhere good progress has been made in terms of research collaborations which will explore more later. Other accelerators sold 36 new systems compared to 31 in 2021, here as well. And once again, record order intake. On the RadioPharma side, the official launch of PanTera brings us a step closer to providing access to Actinium-225 to patients. And finally, within Industrial changing market dynamics and sterilization as board increased demands, which [indiscernible] will discuss later. IBA remains committed to improving and investing in sustainability. This investment was across four streams in 2022, assessing the carbon footprint and life cycle of our products, making changes across the entire organization to reduce carbon emission and waste, working with the organization to ensure IBA is an equitable and inclusive workplace. And finally, we have improved our B Corp score and for the first time, linked one-third of our management performance payment with sustainability report. I will now pass to Soumya to talk through the summary of the financials. Soumya?
Soumya Chandramouli: Thank you, Legrain. On Slide 10 here, you'll see a summary of the key figures for 2022. As Olivier mentioned, it's been a particularly strong year in terms of order intake and backlog across all of our businesses. We therefore achieved an EBIT margin of 3.1% in 2022, which represents top line growth but has been impacted by increasing OpEx and overhead investments for future growth and of course, inflation during the year. Net result was EUR6.1 million. As a result of the strong performance, a dividend of EUR0.21 per share has been proposed, and that's an increase of around 10%. And I am pleased to report that we continue to have a solid net cash position of EUR117 million. I'll now hand you back to Olivier to take you through our business update.
Olivier Legrain: Thank you, Soumya. Let's have a look at Proton Therapy first. IBA maintained a market-leading position in 2022. We have sold 15 new systems across Europe, the U.S. and China. And in China, thanks to our partner, CGNNT. There are currently 32 projects under production or installation, which does represent 7 Proteus PLUS and 25 Proteus ONE. A significant milestone for Proton Therapy was the 10 system agreement made with the Spanish Ministry of Health in December, which is our largest order ever made for -- from a single customer. Collaborations continue to be an important part of our strategy with partnership signed with UMCG, in Groningen, in April to investigate FLASH irradiation techniques in early-stage breast cancer. ConformalFLASH Alliance was launched in June to accelerate the delivery of this novel technology with partners, including University of Pennsylvania, UMC Groningen and many others. And the first patients were enrolled in the European PROTECT trial. Looking more broadly at the PT market. Momentum has continued throughout 2022, and IBA has maintained its market-leading position with a 71% market share. IBA has also maintained its leading position of 43% of the total proton rooms in operation and 42% for the total market share in proton room. In terms of performance, we have a total proton therapy order intake of EUR281 million, which continued momentum in all global territories, most notably in China, Singapore, the U.S., Taiwan, Italy and Georgia. Our proton therapy equipment revenue grew 48% to EUR110 million. Service increased 13.5% with backlog of EUR669 million. Overall, revenues grew nearly 29%, and this is due to a variety of factors, higher production levels, stronger backlog conversion, growing service revenues as well as the recognition of indemnities following the Rutherford bankruptcy. REBIT for Proton Therapy was EUR4.4 million, an improvement from 2021 despite overall cost increase. Let's have a look at other accelerator business units. RadioPharma Solution to start [indiscernible], looking more closely, we are seeing an increase of the market demand. We signed an agreement in China for a Cyclone IKON for the production of novel isotypes for the use in theranostic and targeted oncology therapies. Elsewhere, IBA is seeing growth in the African market with IntegraLab PLUS solution agreed for a centre in Ghana 2022, so the official launch of PanTera, a joint's venture with SCK CEN to produce Actinium-225, one of the most promising alpha-emitting radioisotopes to fight cancers. PanTera is currently in the process of building a relationship with pharmaceutical companies to develop collaboration to an ensure patient access. The building of the production facility is expected to start in 2024. Moving to Industrial Solutions now. We have seen a significant growth during 2022, with order intake nearly doubling from the previous year. The primary driver has been the strong increase in demand for X-ray and electron beam sterilization, as they both become growing contenders to ethylene oxide and Gamma irradiation, the current standard. IBA Industrial also signed a contract to install the first fully integrated X-ray irradiation solution at a customer's new service center site in France. In addition, Northstar and IBA announced an agreement for two additional Rhodotron TT300, High Energy electron beam accelerators building on three previous sales in 2019 and 2021. So looking at the Other Accelerator business unit, we see an overall record order intake of EUR175 million. Equipment revenues decreased to EUR62.6 million due to slower backlog conversion related to the global supply chain and other macroeconomic conditions. Service performed well with an overall revenue growth of 9.8%. Overall, REBIT was lower than last year, affected by inflationary pressure on cost and lower equipment backlog conversion despite the strong catch-up in H2. Finally, let's take a closer look at Dosimetry performance over the year. Our Dosimetry business has been busy over the course of 2022. Business has been increasing, footprint through strategic acquisitions and alliances. We acquired Modus QA, a specialist provider of phantoms for quality assurance for radiation therapy, strengthening Dosimetry’s operation in North America. In addition, 2022 saw the signing of a strategic alliance with ScandiDos, a Swedish company and active in the radiation therapy for patient QA. The team has been also expanding the range of indications for IT Dosimetry technology, announcing myQA iON compatibility with LINAC-based radiation therapy. Collaboration was agreed with Elekta for the optimization of QA, in which IBA is providing QA solution that integrates with the Elekta’s offering. And the Dosimetry business also achieved approval from Varian for the compatibility of IBA's product with the radiotherapy and adaptive therapy solution Halcyon and Ethos. Looking to the top line financials. 2022, Dosimetry order intake was up 22% to EUR67 million, significantly above the performance of the wider market. Backlog increased 200% to EUR32 million from EUR16.3 million in 2021. In part, thanks to the Dosimetry Equipment order alongside 10 proton therapy system in the Spanish contract. And sales increased 3.1% from 2021, boosted by the modest acquisition. However, the division continued to be impacted by the slow recovery in China and by sanctions on Russia. REBIT was strongly impacted by investment in research and development for the future of IBA and cost increase due to the supply chain issues and therefore, decreased to EUR0.7 million compared to EUR4.9 million in 2021. Now over to Soumya to talk about numbers in more detail.
Soumya Chandramouli: Thank you, Legrain. So group sales increased 15%, largely attributable to proton therapy backlog conversion. Sales in dosimetry overall services revenue as well as Rutherford indemnities have been explained earlier. Gross margin for the year was 35.1%, slightly increasing from last year, thanks to product mix and the impact of those Rutherford indemnities. Now as mentioned, you'll notice the uptick in SG&A and R&D spending linked as in most places to increase travel and marketing expenditure as regions open up again against after COVID. High inflation and investments in future growth, as already explained. Other operating expenses were impacted by stock option costs, costs related to a change in pension plan terms as well as write-offs on receivables including by Rutherford. Financial expenses were significantly affected by USD and Chinese yuan evolution over the year. Current taxes of EUR4.8 million were compensated by recognition of deferred tax assets of EUR11.2 million in Belgium related to improvement of future profitability for the company. And finally, net profit of EUR6.1 million compared to a net profit of EUR3.9 million in 2021, following the effects explained above. Turning on to the cash flow statement. Operating cash flow decreased to EUR21.7 million, mostly as inventory and down payments to suppliers increased and also several large invoices that were issued to customers but paid only in early January. Cash flow used in investing activities increased as CapEx increase, and this was particularly linked to IT and software investments and the dosimetry acquisitions of ScandiDos and Modus. Finally, from a financing standpoint, IBA made an early reimbursement of its syndicated term loan given its strong cash position. I won't go into the details of the balance sheet, but it is worth highlighting once again the gross and net cash positions. Also, as IBA ramps up production to its record backlog and being mindful of supply chain challenges, inventory is set to grow over the coming years with some effects on overall working capital. I'll now hand over to Oliver to discuss outlook.
Olivier Legrain: Thank you, Soumya. Looking to the year ahead, we see strong order intake across all business units, continuing in 2023. Growing services continue to provide stable recurring revenues and backlog is reached another all-time high. Our secure balance sheet and excellent cash position provide us with opportunity for both organic and inorganic growth, despite the current geopolitical situation and economic uncertainty, IBA has clear visibility on its mid-term performance and is confident, in its capacity to develop in the coming years and deliver value to all of its stakeholders. Therefore, subject to stabilization of supply chain and inflation over the coming years, as well as a solid order intake, we are pleased to provide mid-term guidance as follows: target of 15% CAGR, sorry, 2022, 2026; on revenues, aiming to deliver 10% of REBIT on sales by 2026 weighted to after 2024; the CapEx will grow to around EUR10 million to EUR12 million per year until 2026 to support increased investment for the future; and finally, a gross dividend of EUR0.21 per share has been proposed, which is an increase of 10% compared to last year. Finally, I would just like to flag some key dates for the year ahead. As usual, we will be publishing quarter one 2023 update on May 18 and will be on the ground at [indiscernible]. Soumya and I, are now pleased to take any of your questions.
A - Soumya Chandramouli: Okay. I see that David has a first question. Go ahead.
David Vagman: Yes. Hello. Good afternoon, everyone. Can you hear my voice? Yeah. Sorry, no problem.
Olivier Legrain: Hello, David.
David Vagman: First question on the 2026 target, let's say, guidance. How do you see the revenue mix in 2026, so differentiating of course, between proton therapy, equipment, services and other accelerator. I know this should impact the margins? And in particular, maybe just aside, any impact from theranostics on REBIT margin accounting-wise. So that's my first question. Second one on PT profitability, maybe more of a short-term question, I would say. So PT was loss-making in 2021 at the REBIT level, slightly loss-making. If we exclude Rutherford, it was as well in 2022, so how should we see the profitability of Proton Therapy evolving in 2023, 2024? And then, okay, a bit like the curve or the trajectory, sorry, that we should expect? And then third and last question for now. You're discussing for 2022, but also for about the impact of inflation on margin in 2023 and maybe also 2024, by the way. So my question is the following on this topic. So we saw wide fluctuation of the margin for other accelerator or actually decline accelerator or REBIT margin declined from 14% to 7%, and then dosimetry from 9% to 1%. Should we see this as a floor how should we think about the future impact of inflation for home material SG&A and so forth in 2023, 2024. Thank you.
Olivier Legrain: Wow. Okay, let's take them one after the other in the -- so first question was about the mix by 2026. I believe between the different businesses. I don't know, if Soumya, you want to take that one?
Soumya Chandramouli: Yeah. Sure. So first of all, I think your angle was also profitability and how you see profitability evolving across those business lines. So first of all, of course, the proportion of service revenues overall will probably remain stable as a proportion of total sales, which means at an absolute value it will continue to increase annually. But as a percentage of overall seas, we should probably remain in the region where we are today, which is between 40% and 45% of sales. On the other hand, the Industrial business is set to grow because as you've seen, the order intake in 2022 was really huge. If you look at overall other accelerator order intake, it's EUR175 million, which is actually close to what we do in some years in proton therapy. So there, you're going to see that converting into sales much more. And since the conversion cycles for other accelerators is much shorter than for Proton, you should probably see this really translating into P&L over the next, let's say, two to 2.5 years, more than the average four years that we see for PT. So the proportion of other accelerator revenue should increase overall versus Proton. But at the same time, you've seen that there's been the 10 content contract -- system contract in Spain, and that's going to contribute quite a lot to revenues from 2024 to 2026 more or less. So I would say that we have an overall big increase in the top line, which will practically double by 2026. The proportion of industrial and RadioPharma sales will increase in that total. And so you should probably see profitability improving slightly also on the back of that as you will have the proportion of service and other accelerator revenues increasing. PT profitability was the trajectory going forward. Olivier, do you want to take that?
Olivier Legrain: Well, I think PT profitability is including -- included in our guidance. So the way we look at it is actually a contribution of all the business unit to the improvement of profitability, including proton therapy. And the main driver behind it is the so-called operational leverage as we see a significant volume increase in the future years. We believe we've reached a level where we're able to cover our fixed cost and to generate profit in proton therapy as well. We can see and we have started to see an improvement of our competitive position in the market, which will allow us to have -- we have always had quite a healthy margin mix in our backlog, but we believe, and we have started to see, let's say, healthier gross margin mix in the backlog, which will help us to continue to improve on our profitability journey. So a mix of operational leverage, a bit better competitive environment with a healthier gross margin potential in the market, which will allow us to cover the inflation plus whatever investment we need to make. As we are on a journey to double the size of the business basically, more or less with 15% figure. So we'll have to significant growth, which will both deliver an operational leverage, but also require some investment to be able to cope with the growth. If we move to the future impact on inflation, I mean, this year is probably, hopefully, let's say, the top inflation year, we're facing an index here in Belgium of 11% and some significant inflation in the rest of the world as well in most of the world as well. And once again here, we believe we're able to swallow it, thanks to the operational leverage, plus being able to push part of it to our customers. Going forward, and that's part of our guidance as well, we expect, even though we don't have a crystal ball, a bit not coming back to where we were before the crisis, but let's say, more, yes, lower inflation. That's how we built our model knowing that should the inflation be higher, then we will have no choice than to push it to our customer. So that's why we built our model. We see a bit of inflation. I don't know if you want to give our assumption.
Soumya Chandramouli: Yeah. I think what we've seen is that at least for 2021, '22, we've seen on average between 7% and maybe 10% of increase on materials between -- depending on the type of materials so that would probably be across the board, maybe 5% increase of cost. And then on salaries and labor, as Olivier said, indeed inflation has been between 5% last year and now make closer to 9% to 11% and maybe even more in some countries. So going forward, we think that we come back to slightly more reasonable levels and taper down towards 3% to 4% by 2026 and that allows us to be able to deliver the guidance to [indiscernible].
David Vagman: Thanks very much and a very quick follow-up on your fixed cost, so more SG&A and R&D. You said you have to invest, and there is the impact of inflation, of course. How much do you expect in 2023 next to inflation, let's say, additional investment? Do you expect more also in the euros to come? So I think you have a bit of a soft target to spend 10% of your sales on R&D?
Olivier Legrain: Yeah. That's correct. I think the main thing we speak about when we speak about investment is what we call the backbone. We will have to -- we'll have to invest into basically ERP and software to be able to have a stable backbone and an efficient one. And the other thing is hiring. And as you know, when we hire, we need to train people and they start by being overhead before they become productive, which we have started to see in 2022. By the way, we'll see -- we'll continue to see that in 2023. And that's why we don't give a specific guidance on 2023, but we with -- on our journey to 10% REBIT, but we'll see, let's say, an acceleration of the improved profitability more towards 2024 as we have to go through this step up, let's say, in terms of organization to be able to cope with the doubling of our turnover.
David Vagman: Thanks. Thanks very much both.
Soumya Chandramouli: We have Laura, who has a question.
Unidentified Participant: Yes. Good afternoon. Thank you for taking my question. First of all, could you elaborate a bit on what will drive improvement in REBIT in dosimetry and other accelerators and how you look at it for 2023? And then a second question, a bit related to that, could you provide a bit more information on the backlog conversion issues and other accelerators, and how the situation looks like now and what to expect for 2023 as well? Thank you.
Olivier Legrain: I think both for dosimetry and other accelerator big impact will be an acceleration of the backlog conversion. I think we opened the year with dosimetry, so we have a huge backlog that we believe will start to convert or accelerator conversion in 2023 with an impact on profitability. We expect to see dosimetry back to where they were, let's say, before 2022, thanks to an acceleration of the backlog conversion that we have booked in the accelerator as well. We have a big wave of -- there is an amazing number. There's many amazing numbers in the numbers we have released today. But there is -- one is the order intake for other accelerator, and it's coming mainly from industrial, where we have a big wave coming at us on E-beam X-ray. And we will start to see quite a significant acceleration of this in 2023, which will help us to improve profitability as well as finance the investment we need to prepare for the growth of 2024 and on. And I would say the -- as I said, the competitive advantage, the competitive positioning of our product line is very -- is much stronger than what it should be in every division, but in particular, in industrial. In industrial when it comes to high-power accelerator, the value proposal is extremely strong for our customers. And therefore, we're able to claim our fair share of the value we create together with them, and we have quite a healthy business in industrial, which will also help us to improve the profitability of the group. And yes, I think that's it. I hope I [Technical Difficulty] question.
Unidentified Participant: Yeah. Just could you provide a bit more information on how does the situation look like currently in other accelerators and what we could expect for?
Olivier Legrain: Yeah. I think the -- once again, the other accelerator backlog conversion in 2022 was somehow hampered by the geopolitical situation and namely Russia, where we were supposed to start installation that we did not start for obvious reasons. And this will be somehow diluted to the different geographies of the backlog in 2023. And this is true for other accelerator. This is also very true for dosimetry, which has been significantly impacted in 2022 by Russia -- by the situation in Russia and somehow slow start in China. I mean, we tend to forget that China did not reopen for post-COVID before earlier this year. So -- and dosimetry, I mean, the biggest market for dosimetry today is China. And this was quite significantly impacted in 2022 in terms of backlog conversion and we start to see a normalization of the situation there. So it will also help us to accelerate backlog conversion in dosimetry.
Unidentified Participant: Very clear. Thank you.
Olivier Legrain: Simon has a question.
Soumya Chandramouli: Hi, Simon.
Simon Vlaminck: Yes. Good afternoon. Thank you for taking the questions. On your guidance of 10% by 2026, I was just wondering how you are treating your venture with the CGNNT in that number, is that including or excluding? And then secondly, how do you see this evolving because we still have not seen too much contracts coming from their side, actually, well, we have the feeling that it is moving, but just a little bit more color on that would be helpful. Thank you.
Olivier Legrain: Okay. So the joint venture with CGNNT nowadays, the revenue impact will be royalties that we will get on, I mean it's going to be twofold. First of all, they will buy equipment from us that we will recognize and then we'll have royalties on their sales, and that's indeed part of our guidance. Other than that, I think most of the preliminary license agreement has been recognized. I think we still have a little bit of a tailored to recognize with the shipment of the first unit that will be done in 2023. I think from a performance standpoint, they have been able to sell one system. I think they're pretty close to potentially close other deal in China. But once again, here China has been quite badly impacted by COVID. And so there has been slow down a bit from a market standpoint in China due to COVID. But I expect to see them resuming sales in 2023, knowing that the competitive positioning for them has improved as well as they are facing less competition from one of the supplier, let’s say, in China and therefore expected to be successful and declare their fair share of market share.
Simon Vlaminck: Yeah. And just on royalty that you are receiving if they sign a contract for multi-room, let’s say, EUR60 million, do you get immediately your royalty or is it staggered?
Olivier Legrain: It's based on non-payment. Is it based on non-payment?
Soumya Chandramouli: No. Well, it's two, it's both. So a portion is on down payments. But otherwise, if there is no down payment, then it's anyway spread over five years.
Simon Vlaminck: Okay. Very good. And you don't get the royalty on the service revenues. Do you, no?
Soumya Chandramouli: Yes. We also have royalty on the service.
Simon Vlaminck: Okay. Very good.
Soumya Chandramouli: So that's the beauty of the whole contract, which is that the royalties allow us to basically make up not just on the equipment side, but also on the service and for as long as the service contract continues.
Simon Vlaminck: Very good. And then on the high energy other accelerators, is anything changing on the competitive side? Do you see some action there because like you say, you have an incredible position there. But do you see the lower end of the market trying to break in, in the high-end segment, too or are they -- are you way ahead of competition there?
Olivier Legrain: Do you speak about electron beam?
Simon Vlaminck: Yes.
Olivier Legrain: Yeah, electron beam we're way ahead of competition.
Simon Vlaminck: So we don't have to fear that, that...
Olivier Legrain: I mean naturally, they will come, but I think we're years ahead. And we're not sitting idle either. So I think we have -- I mean this Rhodotron machine is beauty. And indeed, we have a very big competitive advantage.
Simon Vlaminck: Yeah. The backlog shows that it's a beauty. And then last question from my side on Actinium. If we follow a little bit what's happening on LinkedIn, I have the feeling that it's a done deal that it's proven that they can make it. But that seems to be a wrong assumption from my side. I was thinking that we would get a press release breakthrough that is happening. And then we could start to make our calculations for 2026 and onwards, but I clearly see it wrong. How should we look at it?
Olivier Legrain: I mean, PanTera will become an actinium machine, but no, they're a marketing machine. We don't really give guidance on this. I think it will take some time. First of all, if you want a good indication, look at the drug development, look at the pipeline of drug development that will use Actinium-225. And you will see that with more late 2020s than early 2020s for a major drug to hit the market. So does it mean we're not going to generate revenue before that? No, because there's a big market for early supplier, preclinical doses where we intend to play a role, but that's it for the moment.
Simon Vlaminck: But the point you can make it and you are now trying to get contracts from the pharma to get the long-term agreements to supply. Is that how we have to see it?
Olivier Legrain: Yes.
Simon Vlaminck: Okay. So it works.
Olivier Legrain: Plus, we're working on early supply development. So we could be on the market earlier than...
Soumya Chandramouli: What's required for commercial supply.
Olivier Legrain: What's required for commercial supply. But we're working on both fronts. So one is to set up a facility so we can provide early supply as well as work with big pharma and how they could secure access to clinical supply when they will hit the market with their drugs.
Soumya Chandramouli: And just because, Laura, asked the same question also more sort of. None of these numbers are included in the 2026 guidance that we gave. -- means that anything that happens in PanTera will be an upside at some point, whatever point that comes. So if it's early supply and we are able to start to produce and deliver doses of actinium earlier than when we reach commercial supply, which will be in a few years' time, then that will hit the P&L positively in addition to what is already in the guidance.
Simon Vlaminck: Thank you.
Soumya Chandramouli: David?
David Vagman: Yes, it was actually a question related to the same topic. So indeed, what is part of your guidance in particular maybe on the CapEx. So you're doubling the CapEx. So at the same time, okay, the sales are also doubling. But the -- on Theranostics, so you -- I think there is a plant you said, which is supposed to -- you're supposed to start the construction in 2024 of the PanTera plant. So this does not impact or the, let's say, the EUR12 million CapEx guidance?
Olivier Legrain: Essentially, it will. We explore different ways to finance this. We have many nondilutive or dilutive or if we -- when we will start the business, maybe some leverage, there's many, many different ways to finance this I think it's fair to say that today, in our CapEx guidance, we did not include PanTera. So it will come on top of it whenever we will accelerate there. But once again, it's a partnership. There's many ways we can finance it. I know maybe some of you have understood that we are going to finance everything. It's -- first of all, it's a 50-50 partnership with SCK CEN. So should we finance everything, it will only be the financing of 50% of it. And then there's many, many other intent I believe I believe with what we have achieved already, together with SCK CEN, we have already created a significant step-up of the valuation of PanTera because we have unique technologies being the Rhodotron or radium or target around the concept. So I'm not very concerned about a big impact of the financing on PanTera and IBA numbers, let's say. Let's put it that way.
David Vagman: Okay, you mean on every like P&L or balance sheet or cash flow statement, you don't expect...
Olivier Legrain: Well, in terms of financing, I mean.
David Vagman: Financing, okay.
Olivier Legrain: We're not saying that we're going to see EUR150 million CapEx lined for PanTera.
David Vagman: Understood.
Olivier Legrain: If we see some CapEx, which, by the way, will be investment in a company, I believe it's something -- I would not say not significant, but not dramatic for us.
David Vagman: Okay, clear. Thanks.
Olivier Legrain: We will not put IBA in a negative net cash position again, let's say.
David Vagman: Understood. Thank you.
Soumya Chandramouli: Hello. If there are any more questions, but if there are any please feel free to unmute and ask. Laura?
Unidentified Participant: Yes. Just a follow-up again on Actinium, but just to make sure that I understood it well, it means that the technical feasibility studies have been concluded and positive.
Olivier Legrain: Correct. So we have reached the threshold we call it the threshold, and we move to the next phase.
Unidentified Participant: Okay. Thank you.
Olivier Legrain: Anymore questions?. Okay. Well, then I would like to thank you again for joining us on this call. And we look forward to the next call and updating you soon on our progress. Have a nice afternoon. Bye-bye.
Soumya Chandramouli: Bye, everyone.
Olivier Lechien: Thank you.